Operator: Welcome to the Astro-Med Fiscal 2012 Fourth Quarter and Full Year Results on the 21st of March 2012. [Operator Instructions] I will now hand the conference over to Mr. Stan Berger. Please go ahead, sir. 
Stanley Berger: Thank you, Danny. On behalf of the management of Astro-Med, we are extremely pleased that you have taken the time to participate in our conference call. Thank you for joining us to discuss the company's fiscal 2012 fourth quarter and full year's financial results and business outlook.
 Before I introduce management, I would like to remind everyone that certain statements made during the course of this conference call, especially those that state management's intentions, hopes, beliefs, expectations or predictions for the future, are forward-looking statements.
 During this conference call, we make forward-looking statements within the meaning of the Securities Exchange Act of 1934. These statements are based on the company's present expectations and beliefs concerning future events and are necessarily based on certain assumptions, which are subject to risks and uncertainties.
 Actual results may differ materially from those discussed here. More information on these risks is included in the company's filings with the Securities and Exchange Commission.
 By now you should have received a copy of the news release, which was issued yesterday. If you have not received a copy, please go to our website at www.astro-medinc.com, where a copy of the press release can be downloaded from the Investing section of our home page.
 Hosting the call today are Everett Pizzuti, President and Chief Executive Officer; and Joe O'Connell, Senior Vice President, Treasurer and Chief Financial Officer. At this time, I will turn the call over to Mr. Pizzuti.
 Everett? 
Everett Pizzuti: Thank you, Stan, and good morning, everyone. And thank you for joining our conference call. With me this morning, as mentioned, is Joseph O'Connell, our CFO and Senior Vice President.
 As we announced in our press release yesterday afternoon, we're happy to report that we achieved both a record quarter and a record year. The guidance that we had given you for the year was revenues of $78 million to $79.5 million and earnings of $0.37 to $0.39 per share. Our actuals were on the higher side of the guidance for revenues and exceeded the guidance on both a GAAP and a non-GAAP basis for earnings.
 All of these numbers, of course, are detailed in yesterday's press release. And for the quarter, $20.4 million in revenues is an all-time record for Astro-Med and represents a 14.4% increase over the prior year's quarter. One of the many bright spots of the year is the fact that Test & Measurement, QuickLabel Systems and Grass Technologies were all up by double digits. Sales were strong from our international markets, as well as domestic channels. Everything was in sync.
 One of the driving forces behind our increases for the year was the great performance from our ruggedized product group. Many of our contracts are kicking in at an accelerated pace as the new model aircraft production continues to ramp up. Meanwhile, we have been awarded new contracts, which will layer upon the existing ones in the years ahead. Our newly introduced TW 5 ToughWriter is one of the main reasons for customers selecting Astro-Med for both new aircraft, as well as for fleet modernization upgrades.
 Our QuickLabel System color printers and consumables did very well in the quarter and in the year. As we mentioned in our last conference call, our third quarter from our international branches was impacted by the usual August shutdowns in the European economy. We're happy to report on nice comeback in Q4 and good overall increases for the year in our color printers and labels, inks, toners and other consumables.
 We also experienced growth in our monochrome printers for both end-users, as well as OEM applications. And of course, we are very pleased with the performance of Grass Technologies as we grew the business by 10.7%, with especially strong performance from our international markets. We had a very good increase in EEG, as we take market share from competition and enter new markets with new leading-edge products.
 One of the newer products is our Portable Video EEG system, which is designed for ambulatory home market, as well as for in the hospital. In our consumable products, especially the Grass Gold Cup Electrodes are in high demand from not only from our customers, but also from many of our competitors. We will be introducing new products during the year for all of our product groups, including QuickLabel Systems, Ruggedized and Grass Technologies.
 For QuickLabel, it will be another advanced high-speed color printer. For Grass, an innovative wireless amplifier, as well as new disposable products. And for Ruggedized, some unique capabilities will be added to the ToughWriters.
 In addition to this organic growth, we have a number of targeted acquisitions that we are studying. As we have mentioned previously, the targets must fit within our present fields of expertise, and of course, must be immediately accretive to earnings.
 When I assumed the role of CEO last August, I announced that the company would be open to challenge and change as necessary to continue the growth of Astro-Med. We have since undertaken a number of new initiatives, some of which are in process, some of which are in review and some of which we have made. For example, last fall, we hired a leading consulting firm to work with one of our groups on a strategic business plan. This culminated in an OGSM that we have approved and will implement going forward.
 And last week, we publicly announced a number of staff changes within our company. We feel these are very positive steps towards improving the growth of Astro-Med. Based upon all of this, we are looking forward to another strong year and will give our guidance at the end of the first quarter.
 And that's my report. Joe, can we have the financials? 
Joseph O'Connell: Thank you, Everett. Good morning, everyone. I'm very pleased to present to you and add a little more color to Everett's comments on Astro-Med's fourth quarter and annual financial results for fiscal 2012. As profiled yesterday and as you heard from Everett profiled in our press release, the company did achieve a record quarter in sales. Revenues, as you heard, reached the $20,429,000, representing a 14.4% increase over the prior year's sales of the fourth quarter. Sales through our domestic channels were $14,029,000, representing a 12.2% increase over the previous year's fourth quarter domestic sales, while our international shipments at $6,400,000 in the quarter represents an increase of 19.5% from the prior year. If we detailed the quarterly sales by product group, our QuickLabel Systems line of color and monochrome printers and the related consumables were at $11,222,000, reflecting a 19.5% increase from the prior year. The Test & Measurement product group, which includes both the data acquisition products, as well as the ruggedized product lines reported sales of $4,588,000 in the quarter, an increment of 18.5% over the previous year. And lastly, the Grass Technologies product group with neurophysiological recording instruments and consumables had sales of $4,619,000 in the quarter, which is slightly up over the prior year's fourth quarter sales.
 The company achieved gross profit margins in the quarter of $8,367,000. That's a 13.4% improvement from the prior year and reflects a margin of 41%, that's some 30 basis points below the prior year's margin in the fourth quarter of 41.3%.
 The company's secondary expenses in the quarter were $6,737,000. That's a 2.1% increase in spending from last year, with most of the increment related to research and development projects.
 Astro-Med's operating income in the fourth quarter prior to the loss related to the divestiture of the company's label manufacturing operations in North Carolina was $1,630,000, which is more than double last year's fourth quarter operating income of $779,000. The improvement allowed the company to reach an operating margin of 8%, that's up from the prior year's operating margin of 4.4%. During the fourth quarter, the company sold its North Carolina label manufacturing business and reported a loss related to that divestiture of $681,000.
 Other income and expense in the quarter had a charge of $63,000 related to the loss on some foreign currency transactions. The company's provision for federal, state and foreign taxes was $31,000 in the quarter, lower in the quarter as a result of our true-up of certain state tax balances, resulting in an effective tax rate of 4%. This is down from last year's effective tax rate of 33% in the fourth quarter.
 Astro-Med earned $854,000 in GAAP net income during the fourth quarter, representing an earnings per diluted share of $0.11. In the previous year's fourth quarter, the company earned $517,000 in GAAP net income or $0.07 per diluted share. Prior to discussing the status of the company's balance sheet and cash flow at year end, a review of the financial results for fiscal year 2012 is as follows: Our net sales reached a new level of annual revenues at $79,193,000, an 11.5% improvement over the prior year's sales of $71,016,000. Favorable foreign exchange contributed $705,000 to this year's sales growth. Sales in our domestic markets was $55,004,000, an increase of 8.7% over the previous year. International shipments contributed $24,189,000 in sales for fiscal 2012, representing 31% of total revenues and reflecting a growth rate of 18.6% from last year. Our annual revenues by segment or product group had QuickLabel Systems at $43,586,000, that's up 10.3% from the prior year. The Test & Measurement product group, including the ruggedized products, was $17,139,000 for the year, growing 15.5% over the prior year's T&M sales volume. And lastly, Grass Technologies sales at $18,469,000, rounded out the double-digit growth rates with a sales increment of 10.7% from last year. Gross profit dollars for the year were $41,783,000, exhibiting a 10.9% improvement over the prior year and reflecting a gross profit margin of 40.1%. Astro-Med's corresponding gross profit margin in the previous year was 40.4%. Operating expenses during the year were $27,185,000. That's a 4.5% increase in spending over the last year with the prime contributors being selling and marketing activities.
 Astro-Med achieved an operating income prior to the divestiture of $4,598,000, a 73% improvement in the operating profit over the prior year's operating income of $2,656,000. Other income in the year was $316,000, of which $300,000 relates to the disposition of certain insurance proceeds in the second quarter. Our federal, state, foreign income tax provision for the year is $1,101,000, representing an effective tax rate of 26%. This year's rate is comparable to the prior year's effective tax rate of 26%.
 The company earned on a GAAP basis $3,132,000, a net income during the fiscal year 2012 or $0.42 per diluted common share. In the previous year, Astro-Med reported net income on a GAAP basis of $2,062,000 or $0.28 per diluted common share. Relative to Astro-Med's balance sheet at year end, we have -- our cash and marketable securities were up 11.7% over the prior year to $23,040,000. The working capital balances of accounts receivable and inventories were also well positioned at the end of the year. Accounts receivable dollars rose 6% from the previous year to $11,801,000 representing some 51 day sales outstanding, a 3-day improvement in that turnover from the prior year.
 Inventory dollars declined slightly to $14,129,000 at the end of the year, equivalent to 105 days on hand. Funding for our capital expenditures reached $1,155,000 for the year and was earmarked related to machinery and equipment, information technology and tools, dies and fixtures. The company's paid cash dividends of $2,055,000 during the year at the rate of $0.07 per share per quarter. The company's book value per share at year end was $7.51, up nominally from the prior year.
 And lastly, the company's employee population declined at the end of the year to 372 persons. This and -- from -- at Astro-Med on a sales per employee basis, we improved our sales per employee to $189,000 per employee from last year's reported $168,000 per employee. 
 That concludes a review of the financials for the quarter and for the year. 
Everett Pizzuti: Okay, thank you, Joe. And Danny, we're ready to take any questions. 
Operator: [Operator Instructions] And the first question comes from Mark Lanier from Pegasus Capital. 
Mark Lanier: Please help us understand some of the acceleration on the international side. Is that improving tone of business? Is that better distribution and more representation? And do you think international will continue to grow at a higher rate than domestic? 
Everett Pizzuti: Thank you for your comments, Mark. Yes, we've made a number of changes in a number of areas. Certainly, we're continuing to work with our dealers and distributors and making changes where there's poor performance and where there's no dealership, we're adding them. So that's continuing at an ongoing basis. Secondly, a number of the products that we've introduced that really products that have international appeal. Quite often, we hear that the products we make are suitable for the U.S. market, but this is not what we use in Europe. And so -- or in Asia. And so we've taken some of those things very seriously. And for example, we introduced the new portable Dash MX data acquisition product and our objectives for that was to make a product that would be acceptable in the Asian markets where size and weight and price is important, as well as in the European and U.S. markets. And so that's -- those were the criteria that we gave our engineers. We produced that product and now that's -- it's suitable for universal sales. So in answer to your question, we've done a number of things and we think our objective has always been to get international sales up to 50% of the U.S. And right now, they are hanging in at around 30%... 
Joseph O'Connell: 31%. 
Everett Pizzuti: 31%, Joe says. So 31%. So we have some growth potential there. 
Joseph O'Connell: We also had some very strong performance in the branches, particularly as they did quite well in terms of expanding their footprint in Western Europe. Certainly, Germany and France, I think, were significant contributors to the success we saw in fiscal 2012. 
Mark Lanier: That's helpful. If I may ask a second question and I'll get back in queue. It's really about the QuickLabel business. And it's clear from the divestiture that you are evolving plans with respect to the label and printing business. And if you could just give us a sort of a second or third order overview of that particular subsidiary, that would be helpful. 
Everett Pizzuti: Okay. Well, again, the color printers themselves were continuing to make lots of good placements. And sometimes, it takes 3 to 6 months or even longer for some of these printers to get really integrated and into production. And so there's a little gap between placing a printer in the field and then seeing the return in the way of media. And so lots of the Vivo! color printers that we put in place earlier last year are finally beginning to show some very nice increases in labels, toners, inks and other consumables. And typically, as a rule of thumb, we like to say for each printer after the first year, we would get in return in consumables at least the value of that printer. So if a printer sells for $18,000 in the first year, we expect to get at least that and more. Now -- and some of these printers are generating a lot more because they're used in production applications for labeling of products. We have a lot of capacity. We added, I shouldn't say we have, we added quite a bit of new capacity. At the same time, we increased our label manufacturing in Frankfurt. We opened a new facility of label manufacturing in Montréal. We added some additional space to our manufacturing here in West Warwick at the same time that we had acquired that Asheboro facility. And so because of this capacity plus some of the products produced in that facility were not conducive to the way we do business and to our methods of distribution. So we felt it best to divest that operation and without any impact on the business of our -- for being able to produce labels on a consistent and quality basis. 
Mark Lanier: When you are reviewing new products, you did so and I missed the portion of it that was related to QuickLabel. Would you repeat what the new product feature or description was with respect to the QuickLabel side of the business? 
Everett Pizzuti: Yes, yes, yes, Mark, what I said about QuickLabel is that we would be introducing a new innovative printer later on this year. It's targeted for introduction around June. And so we'll see the fallout from that new product in the second half of the year. And of course, this is another color printer. I did mention that when I made the announcement. 
Operator: And the next question comes from Joe Furst from Furst Associates. 
Joe Furst: A question. Joe, this is more for you. The sales -- or record sales of $20 million for -- in the quarter, was there anything particularly unusual in the quarter? Or is that anything particular? I know it's a little bit seasonal because of the Europe shutdown earlier. But anything else particularly unusual about that quarter? 
Joseph O'Connell: We -- the good news, I think, Joe, is actually we saw growth, as I mentioned, really -- especially in T&M, as well as in QuickLabel Systems. The Grass was pretty much up slightly, but the other 2 had some double-digit nice profiles. We just were very pleased. I think a combination. I think the international folks also had a particularly strong quarter, so they made a nice contribution. But I think we're very pleased with the -- with ruggedized and I think we're also pleased with the color printers that we moved in the fourth quarter. As I think Everett mentioned earlier in his remarks, a little bit of softness in the third quarter in some of these areas that we started to recover some of that business in the fourth quarter and that's manifested itself in the sales. 
Joe Furst: So nothing extremely unusual or any, just... 
Joseph O'Connell: No. So in general, I think the good part is it wasn't related to one big contract that we won't see next quarter. It was increases in virtually all of our product areas. 
Joe Furst: Sorry, if you make the adjustment for the loss of the sale of the Asheboro plant and a normalized tax rate, you're still earning, it looks like, in the rate of $0.15 to $0.16 a share per quarter in that quarter if you normalize things, is that right? 
Everett Pizzuti: Yes, I think you might have seen that on the table that we put together. That's right, Joe. 
Operator: And the next question comes from Sam Rebotsky from SER Asset Management. 
Sam Rebotsky: Hopefully, we're on the way to sort of make major improvements and you seem to have started that now. Your projections of $0.37, $0.38, did that bake in -- and you've achieved $0.42. Was that considered the write-down at the $0.06 write-off also? Or was that -- would you have been significantly higher than your projections? 
Everett Pizzuti: No, at that time we did not have that in there, Sam, to tell you the truth. I think we've tried to put that as a table and it's actually -- if you happen to see that in the press release, you'll see that, that was an activity that we did not know was going to take place in the fourth quarter, but it -- would not anticipate it in those numbers. 
Sam Rebotsky: So you were really significantly better than you expected. And was there any one-time sales that appeared in here that were supposed to be in the previous quarter? 
Joseph O'Connell: No, I think -- no, there wasn't really, Sam. I think we've always said that our challenge has been to get that top line up because we think there's tremendous efficiencies once the sales level gets up to that $20 million to maybe $21 million quarterly basis and I think we've seen that in the fourth quarter and that certainly was the kind of expectation we need to be to be able to generate those kinds of earnings. 
Sam Rebotsky: Okay. I didn't hear if you made a projection for the coming year. And if you did, when you expect to do that? 
Everett Pizzuti: Right. I've said, Sam, that we would make our projection for the coming year at the end of the first quarter, which is typically what we normally do and especially now because we're in this what we call a year of transition here. We're making a lot of changes, some of which we've announced, some of which are to be announced. And so we're reserving our guidance for the end of the first quarter. 
Sam Rebotsky: Well, I guess, everybody misses Albert and everybody thinks about Albert as the, I guess, the leader behind and everybody is also putting together a plan to make changes and because new people who have control do things differently and Albert was a very strong leader and was clear-cut on what -- where he was going. Could you sort of give some kind of direction what you want to do and achieve -- you've gotten these higher sales. I mean, definitely you're going to try to increase sales and profits and presumably there isn't -- are there any acquisitions that you are looking at? Or what kind of direction are you going in? 
Everett Pizzuti: Right. Well, certainly we acknowledge the greatness of the founder of Astro-Med, Albert Ondis, and he created this company from scratch. And so we certainly we want to continue to build on the great foundation and legacy that he left with us. And we're going to accomplish that growth by -- I think one of the things we're doing is we're giving more opportunity for the leaders within Astro-Med to propose and make changes or recommendations. And so -- and that's working quite well. All within objective, of course, of increasing the revenues and earnings and strategy of Astro-Med. I think I mentioned in my opening remarks, for example, that we decided just to keep everything on an open basis, to hire an outside consulting firm. This is a well-known consulting firm to work on a strategic business strategy for us and that was about a 4-month project for one of our groups. And we're going to be implementing that in the years ahead. So we're doing some additional things that we haven't done before, all with the objective of growing the business. And with regard to potential acquisitions, yes, that's definitely in the cards. Yes, we have targets that we're looking at and speaking with. And yes, if we find the right one, we'll recommend that to our board. 
Sam Rebotsky: And one other final thing. When thing -- changes happen like this, there is always people that will be more prone to look at a company like Astro-Med with its pristine balance sheet and great profitability and greater potential profitability to try to acquire Astro-Med. Has any of that happened? And even though it appears everybody has gotten greater roles, is there any possibility of something like that happening and being part of a larger company? 
Everett Pizzuti: That is -- let me put it this way, we're not in discussions with anybody right now. Certainly, we'll do. We'll look at everything because with the well-being of our shareholders in mind, and if something comes to pass, we'll certainly listen. We won't say no and we'll listen. And if it's a value to the shareholders, then we'll set something like that forward. 
Sam Rebotsky: Okay, one further quick comment. Hopefully, you will tell your story in front of more investor groups. Is that in the plans? 
Everett Pizzuti: Yes, we continue to -- we will continue to do that. We've done some of that last year and we'll pick that up again in the spring and continue to do that as well, Sam. 
Operator: And the next question comes from Steve Busch from SouthPaw Investments. 
Steven Busch: Just a couple of follow-up questions and comments. First, QuickLabel Systems, was the increase in sales there predominantly an inventory build situation, do you know? Or was it in the past when the economy was kind of bad, people were just buying as needed? Are we seeing that more of a build? 
Everett Pizzuti: You mean a build on our customer's end? 
Steven Busch: Yes, customer's end. 
Everett Pizzuti: No, no. Typically, the people buy the goods from us basically when they need them. And so it's the day-to-day business. That's just continuing to pick up. 
Joseph O'Connell: I think the help, obviously, was the color printer getting that squared away, Steve. That's really starting to pick up and we're really starting to see some of the consumables associated with that, so that was a contributing factor. 
Steven Busch: Right, okay. And this new printer or color printer you're going to announce with new features, is that going to make people not buy some of the current printers? Or is it in addition to that situation? 
Everett Pizzuti: It'll augment the existing Vivo Touch! and our lead printer right now is the Vivo Touch! This new printer will do some things that the Vivo Touch! does not do and vice versa. So it's going to be a very nice complement to expand the business. 
Steven Busch: Perfect. And regards to the label business, do you -- is there a particular industry that seems to be buying more? I mean, do you have insight into that? 
Everett Pizzuti: In general, the packaging industry, food and beverage, healthcare. We're in so many industries and fortunately, we're not dependent upon one in particular for those color printers. They are just sold to virtually all walks of life. 
Steven Busch: All right, okay, good enough. Maybe the cars or something was picking up tires. So in terms of the airplane orders for the cockpit printers, et cetera, do you see more and more orders coming on? Or any of these delays of the Boeing deliveries or anything there always ongoing, does that affect your quarterly run rate? Or are you pretty much good for the year out? 
Everett Pizzuti: Yes, we're pretty good there. The Boeing program is really picking up steam for that Dreamliner 787. So those delays are behind us on that aircraft. So that's well positioned. And the beauty of that is we have those contracts in hand and the customers are giving us releases on a daily basis for future shipments throughout the year. So that's all in hand and real. 
Joseph O'Connell: We're going to add more contracts. In addition to that, we're very diligent about trying to add -- putting out -- responding to RFP opportunities to be able to add additional contracts to the existing ones we have and that offers great promise for the company. 
Steven Busch: That's great, perfect. Now in terms of the dividend, we're kind of stuck at $0.07. Are we looking at maybe increasing that $0.01 a share a quarter or maybe do some share buyback on your stock? It's just incredibly cheap at these prices and there's no volume, so we might as well buy back our own shares. 
Everett Pizzuti: Yes, that's typically a topic of discussion at our board meetings and we've had a board meeting on Monday of this week and it was a topic of discussion. We certainly have -- we're in a position to buyback. We have about 0.5 million or so outstanding approved for buying back. So if there is the right time to do it, we'll certainly be in a position to move. 
Steven Busch: What's the board's thinking on parameters? Is there a level where you want to buy back shares or not buy back shares? Is there a reason you would? I mean, as opposed, for example, an acquisition, our stock is trading well under one-time sales and the $3 share in cash, it's being given away. 
Joseph O'Connell: Right. No, I think the feeling, as they say, as Everett says, we're -- the buyback -- there's always interest in terms of buyback, obviously, at the right price. But a lot of our shareholders like the shares and there's not a lot of opportunities that change the surface for us to go ahead and buy a significant number of shares in the buyback program. But we certainly have feelers out in terms of opportunities that would be presented itself and certainly, if the right situation presented itself, we certainly wouldn't hesitate to do the buyback. 
Operator: And the next question is a follow-up question from Mark Lanier from Pegasus Capital. 
Mark Lanier: Two questions. One is a clarification on the stock buyback. Is that an authorization for dollars or shares at $0.5 million? 
Everett Pizzuti: Shares, Mark. 
Mark Lanier: And I echo the sentiments of the last person offering a question, which is if you do an acquisition, make sure it's a lot better than buying back your shares and buying back your shares in any quantity appears to be a very good allocation of capital and certainly in respect of what you all have done over the last several years to improve the intrinsic value of this company. So I encourage you to consider that. And if you do make an acquisition, make it lots better than buying back your own shares, please? The other question has to do with CapEx in the coming year. Any estimate on that or should we to wait until the end of first quarter to get an estimate on CapEx for 2012? 
Joseph O'Connell: Well, Mark, we have a budget there. I think probably we're a little bit lower this past year. We spent about $1.5 million. I'm sorry, we think we'll probably spend comparable to the depreciation and amortization, which is roughly about $1.5 million a year. So I would guess that as we look at, again, all of our businesses, I'm sure there'll be an interest in making sure that there are capital expenditures that makes sense and I would think that would probably be in that range. 
Operator: The next question is a follow-up question from Joe Furst from Furst Associates. 
Joe Furst: Also, I want to follow up and agree wholeheartedly with the comments of the last 2 callers. If you make acquisitions, you already stated they would be accretive from day one. And given the amount of cash you have, it would be very helpful to make -- if you can make a decent acquisition to do so because you're probably making next to nothing on your cash and buying back stock is also a great return to shareholder value. My other question is what's the backlog now in the ruggedized printer with all these planes over the next bunch of years? 
Everett Pizzuti: Well in terms of contracts on hand, the contracts on hand are over $131 million. Now we don't book those contracts, so they're not in our backlog. What we book is the release orders that come throughout the year. And as I mentioned a little while ago, these release orders actually come daily. They order these daily for all of these aircraft. And so we've got releases going out to next November already at hand and beyond. And so it's good for us because we're able to plan our production and meet the required dates as needed. So I don't have a figure for that, that we can give you, but I can assure you that it's going to be a nice continuation of what we've done this year -- this past year. 
Operator: And the next question is a follow-up question from Sam Rebotsky from SER Asset Management. 
Sam Rebotsky: Everett and Joe, along the backlog in the contracts in hand, I presume the $131 million is the highest. Has it been higher? What was it at this point last year and that the end of the previous quarter? 
Everett Pizzuti: Yes, I can tell you, last year was around $100 million. So -- and this year, it's around $131 million, so we've certainly added to that. And we have -- we'd probably have in negotiation right now around $60 million in negotiation with various sources. And we've gotten a number of contracts during the past year. We didn't announce them, however, because we're being prohibited by doing that by nondisclosure clauses in these contracts. So you're not going to hear that we got such and such value contract from so-and-so because we're not in a position to do that. But I can give you this cumulative number to give you some idea that these new contracts are indeed coming in. 
Sam Rebotsky: Would it appear that this is the highest you've ever been with the contracts in hand and negotiations and pipeline, et cetera? 
Everett Pizzuti: Yes, it's pretty close. 
Joseph O'Connell: The same, I think. It's probably pretty close. I think in the past, depending on the opportunities, I think. But this is pretty close to one of the high marks that we've had to the contracts. 
Sam Rebotsky: Yes. And as far as you're working how many shifts, 1 shift, 2 shifts? 
Everett Pizzuti: We work one shift at all of our instrument plants, but we do have work 2 shifts in our consumable plant for labels. 
Sam Rebotsky: Do we expect to increase the number of shifts? 
Everett Pizzuti: Well, right now, we have a good capacity on the instrument side. I can say that we do a lot of overtime, that includes working Saturdays and Sundays, believe it or not, in order to meet these demands. So we have the capabilities to move quickly to meet demand. 
Sam Rebotsky: So this is good. And so I guess -- I'm sort of very pleased to see how high you're doing in the sales and it would appear that you could have record sales for the quarters going forward based on this backlog. 
Everett Pizzuti: That would appear to be true. 
Sam Rebotsky: Okay. But the one negative is the cockpit printers. I mean, the airline seems to be going to iPads and I know you keep selling the printers. What is your take on what is happening there as they go more and more to iPads and various other computerized that doesn't include printing? 
Everett Pizzuti: Right. That is -- that's good. That's going to work in our favor actually, Sam. And one of the new products for ruggedized that I just made a reference to without naming it is going to be kind of in that direction. I just can't get specific right now. You'll have to wait until we can make a public disclosure. But I can just tell you that the iPad will augment the use of the ToughWriters as opposed to replace the use of the ToughWriters. 
Sam Rebotsky: Is there any area -- I mean, if you have a manufacturing location or another location that would make you to be able to ship more of your product or can you do everything where you are based on the locations you have? 
Everett Pizzuti: Yes, we have a pretty good facility here in West Warwick. And if we had to, we could go to a second shift on the instrument side. We still have a little room for building expansion here, so we could do that. But in general, we definitely have the capacity to move quickly on additional new business. 
Sam Rebotsky: Well, it sounds very exciting and I think your story has to be told more widely because the fact to be at a highest backlog that you've ever been and you seem to be making decisions. You do not have the inability to make decisions and everything seems kind of have gone positive. So good luck and tell the story. 
Operator: We don't have any further questions. Please continue with any points you wish to raise. 
Everett Pizzuti: If there are no more questions, Danny, I think we'll perhaps end the call. Danny? 
Operator: Yes, sir. Ladies and gentlemen, this concludes today's presentation. Thank you for your participation, and you may now disconnect.